Operator: Good morning, and welcome to the Marpai Third Quarter 2024 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mr. Steve Johnson, Chief Financial Officer. Please go ahead.
Steve Johnson: Good morning, and welcome to the Marpai Third Quarter 2024 Earnings Release Webcast. With me this morning is Damien Lamendola, CEO and Director of Marpai; and John Powers, President of Marpai. Slide 2 for your eye check is our required safe harbor and forward-looking statement disclosures. And I'll turn it over to Damien to start.
Damien Lamendola: Thank you, Steve. I took the helm at Marpai a year ago. I'm extremely proud of our progress, but we have much more to do. My commitment to the company remains unwavering. I'm now the largest shareholder, and recently made another direct investment into the company. In addition to investing capital into the company, I'm committed to creating long-term value for shareholders as your CEO. I'm pleased to report that our turnaround efforts are yielding very positive results. As CEO, I'm out in our sector, developing strategic partnerships that leverage our platform for growth and profitability. We have a robust sales pipeline for 2025, which John Powers will now address in more details. Finally, with the recent election results, the company anticipates a very positive overall impact on the TPA industry with a reduced threat of a single-payer system and the focus on health-conscious behaviors. I'll now turn it over to John.
John Powers : Thanks, Damien. I wanted to share some of our recent operational successes. Our team has made significant strides in improving efficiency and customer service. Key process indicators such as average claim processing time, average call answer time have decreased by 75% and 80%, respectively. These improvements have enabled us to eliminate our third-party customer service team and bring these operations in-house, leveraging our existing workforce. We continue to identify opportunities for further efficiency gains. A major project currently underway is expected to reduce TPA expenses by over 25% in Q1 2025. On Slide 5 for our strategic initiatives. The third-party benefits administrators or TPA industry has seen substantial growth in recent years fueled by increasingly complex health care regulations, rising health care costs and the need for competitive benefit packages. Marpai offers a valuable solution by handling the administrative burdens of employee benefits allowing businesses to concentrate on their core operations. As the industry continues to evolve, Marpai is leveraging advanced technologies to streamline processes, improve efficiency and elevate overall employee benefit experience. As a result of these factors, Marpai is gaining significant market traction and has a robust sales pipeline extending beyond Q1 2025. We've been fortunate to secure clients who will experience growth throughout the year, and our typical 3-year contracts provide a stable revenue stream over this time frame. A few examples of the clients that we are winning business include a 4,000-life employee restaurant group that has -- was attracted to our proven Marpai Saves program, a 6,000 employee life multi-location hospital group that will provide growth throughout the year as we transition to various locations as well as a few housing-related clients for a total of 3,400 employee lives also scheduled to transition over the course of 2025. We continue to achieve success in executing our sales strategy by focusing on clients that are looking to save money on their employee health benefit plans.
Steve Johnson: Thanks, John. As seen in our financial results and consistent messaging, current leadership has consistently prioritized profitability and positive cash flow. We have demonstrated our commitment to reducing costs and improving operational efficiencies. As long-term contracts expire, we are strategically eliminating redundancies and consolidating services. An example mentioned earlier was our recent decision to bring fully in-house our customer service team. Our data-driven approach enables us to optimize client agreements and execute a return to solid organic revenue growth in 2025. Please refer to our SEC filed 10-Q for the details of our financials, I'll review a few of our highlights of our achievements in the third quarter. We ended the quarter with just over $800,000 of cash on hand. And while revenue declined by approximately 3% from Q2, we cut operating expenses by 15% from Q2, saving approximately $1.8 million. Our operating loss, excluding the $7.6 million impairment of intangibles and goodwill that we had in the second quarter was reduced from approximately $4.7 million to approximately $3.1 million for the third quarter. As a result of our turnaround plan, our cash used in operations stabilized at $3.5 million for the third quarter. I would now like to turn it back over to Damien.
Damien Lamendola: As the largest shareholder and CEO, I am pleased with our leadership team's commitment to creating value for our shareholders, both at the Board level and our management team and all employees who like me are motivated by our commitment to our shareholders, customers and partners. Recently, a new institutional investor became a large shareholder in Marpai through a direct investment, the IFCM MicroCap Fund managed by Ian Cassel. Many of you will recognize Ian's name as he is the founder of the MicroCap Club, a community of over 250 experienced microcap investors searching for the next great company. We are honored to have such a successful new investor as a Marpai shareholder. Our commitment to providing cutting-edge solutions and delivering exceptional value to our clients is at the heart of everything we do. As always, we want to hear from you, our shareholders. Please reach out with your ideas and suggestions on how we can continue to grow value. The company has several exciting actions that we will be highlighting over the next quarter in preparation for 2025. Thank you for your continued confidence and support.
A - Steve Johnson:
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.